Operator: Good day and welcome to the Third Quarter 2016 Results Conference Call. For your information today's conference is being recorded. At this time, I would like to turn the call over to Mr. Nihat Narin, Director of Investor Relations and Business Developments. Please go ahead, sir.
Nihat Narin: Thank you, Kale. Good morning and good afternoon. I would like to say welcome to our call on behalf of the management team here. We will start today with the presentation by our CEO, Kaan Terzioglu, then will followed by CFO, Bülent Aksu. And our last session will be the Q&A session. Before we start the presentation, I would like to remind you of the brief legal notice. In this presentation we will make statements that are forward-looking about our future targets and expectations. These are based on our current views and assumptions which may change in the future and our actual results may be different. Mr. Terzioglu, please go ahead sir.
Kaan Terzioglu: Thank you, Nihat. Good afternoon, good evening everyone. Welcome to Turkcell's third quarter 2016 results call. Before I start I want to thank Nihat for his role as the Investments Relations Director for so many years as he takes on the new challenge as the CEO of Global Tower our new regional tower company and I want to welcome [indiscernible] as our new leader or Investor Relations. I am joined by our full executive team and I would like to basically start by telling you, how happy I am that the first results of the Q3 and first nine months we have closed this quarter and the first nine months on record high revenue and EBITDA both at Turkcell Turkey and group levels despite the fact that Turkey has overcame a major challenge to its democracy by successfully working a coup attempt and during these worrying times we have fulfilled as telecom's industry our duty of enabling the general public, the accurate and timely information platform. We have also provided free emergency communication packages to our customers during this time and I will elaborate on its financial implications as well shortly. Looking to our numbers. Our group revenues rose 8.8% to TRY3.7 billion and our EBITDA by 4.9% year-on-year to TRY1.2 billion. While the EBITDA margin was at 33.3% in the third quarter both of these figures are all-time high third quarter figures for the group. Excluding the impact of the aforementioned emergency packages of this quarter, group revenues would have risen by 10.4% and the EBITDA margin would have been 34.4%. Group net income as per IFRS was TRY163 million mainly due to several one off items which Bülent, our CFO will expand on later. Excluding these impacts our pro forma net income rose 4.2% year-on-year to TRY705 million. For the first nine months we have performed in line with our expectations. Group revenues rose by 8.6% and EBITDA by 5.4% resulting in a 31.7% EBITDA margin. Group net income as per IFRS was down to TRY1.1 billion while pro forma net income rose to TRY1.8 billion. In the first nine months, we continued our 4.5G investments at full speed. Our operational CapEx to sales ratio was at 21.5 percentage points. We have achieved our targets over the past nine months and are quite confident of maintaining our full-year guidance despite prevailing macroeconomic and geopolitical challenges as they are. Indeed we are set for a strong start to 2017. In this regards as part of our focus on maximizing the value of our strategic assets, we’re evaluating all our options accordingly among these assets Fintur in which we own a 41.45 percentage stake is currently evaluated for numerous options among which is its potential sale following the inconclusive negotiations with earlier company. Global Tower is another strategic asset on our balance sheet with view to a more focused management of Global Tower and transforming it to a regional tower company, the first plan step was its initial public offering now postponed to 2017. Investor interest shown has already strengthened our confidence in our tower business model. Moving on the next page. Turkcell Turkey remain our key growth driver. Revenues rose 7.9% and EBITDA increased by 3.2% year-on-year with a margin of 33.4%. Excluding the impact of three emergency communication packages, revenue and EBITDA growth would have been 9.7% and 8.9% respectively with an EBITDA margin of 34.7%. Turkcell Turkey's pro forma net income rose 1.9% year-on-year to TRY662 million. In the first nine months, Turkcell Turkey revenues rose 8.6% to TRY9.2 billion and EBITDA ramped up 4.7% with an EBITDA margin of 31.9%. Pro forma net income for the first nine months reached TRY1.7 billion on a 1.6% year-on-year increase. I am happy to say that 8.8% growth in group revenues marked the highest revenue growth of the past three years with increasing pace every month and quarter. For instance in September the pipeline growth further accelerated to 12% and EBITDA margin to 36%. Turkcell Turkey which accounts for 90% of our group revenues increased by 7.9% due to our value focus customer acquisition and conversion strategy. Including Turkcell consumer finance company, Turkcell Turkey revenues increased 10% year-on-year. Turkcell International revenues comprising 6% of group revenues declined 5.2 percentage points driven by currency devaluation in Ukraine and Belarus. We will explore international business in the further slides. Other business revenues at 4% of group revenues ramped up 69.9% driven mainly by contribution of Turkcell's finance company which commenced operations in March 2016. Loans utilized through our consumer financial company reached TRY1.8 billion with an average maturity of 22 months. These are extended to 1.5 million customers marking the largest customer market share in the sector. Moving to the next page. Let's look at our growth engines data and services. Our data and service revenues in total posted 76.5 percentage points the year-on-year growth to approximately TRY2 billion. Data and services now constitute 60% of total Turkcell Turkey revenues and are expected to further increase their share in subsequent quarters. Following the launch of 4.5G, today more than 90% of our investments, cost base and customer consumption are data related. Hence with the amount of retail price control rule in Turkey we are now able to reflect this reality in our tariffs and campaigns. Following this change along with higher smartphone penetration increased data users consumption levels mobile data revenues rose 97 percentage points. Meanwhile fixed broadband revenues were up 27% on the increased number of customers and higher usage. Services and solution revenues ramped up by 54% to TRY273 million mainly due to increased usage of Turkcell TV+, our music platform Fizy, personal cloud services and other mobile services. Moving to the next page. Operationally we continue to focus our efforts on expanding our value generating customer base and reaching user experience through our strong mobile and fiber networks, dedicated sales force and customer care. On the mobile side our total subscriber base rose by 179,000 on a quarterly basis. Our postpaid customer base rose 897,000 year-on-year to 17 billion at 52% of the total customer base further improving the subscriber mix. Supported by our focus on high value generating customers and increased package penetration, mobile ARPU rose 6.9% year-on-year to TRY27.9. ARPU growth would have been 8.8% excluding the impact of free emergency communication packages. On the fix side, total customers exceeded 1.7 million. We have added 296,000 new customers over the past 12 months of which 140,000 were fiber users. Meanwhile fixed residential ARPU rose 5.1% to TRY51.6 on growth of multiplay customers with TV as well as price increases. Moving to the next page. We continue to increase the smartphone penetration of our subscriber base. Now it stands at 62% with 3.2 million net additions. Meanwhile our contracted smartphone sales grew by 15% year-on-year recording a historic high number in the third quarter. This performance was fueled by our consumer finance company. Demand for our 4.5G services continued to increase in the third quarter marking 31% quarterly 4.5G traffic growth. Mobile data usage per user rose 61% year-on-year to 2.6 gigabytes with the contribution of 4.5G users, who consume an average of 4.3 gigabytes per month. The share of 4.5G users in total mobile data users rose four percentage points to 27% in September from June. 4.5G users generate almost two times more ARPU than the overall mobile subscribers. Moving to the next Page, as the first and only company in the Turkish market to offer a real converged experience, a major component of our strategy is to focus on increasing penetration of multiply offers. Accordingly, we achieved the healthy rise of greater service per customers both for mobile and fixed segment. We also see higher potential for cross-selling opportunities going forward. In mobile, the share of triple play offers has been rising steadily, reaching 28% on a four percentage point quarterly rise. On the fixed side, our multi-play ratio in total fiber residential subscribers, which includes voice, Internet and TV, rose one percentage points on a quarter-on-quarter to 34%. Moving to the next Page, digital services are a key component of our future positioning, while certain services directly generate revenue, others such as My Account play a key role in retaining customer loyalty. By our calculations among heavy users of these services, we observed a positive impact on both ARPU and the churn rates. This quarter we continue to see rising demand for all of our core digital services. Total downloads compared to the last year rose from TRY15.2 million to TRY35.5 million, while the active users increased 1.3 times. Our digital services are all access services which are also used and downloaded by competition. Our new generation communication platform BiP continued to attract interest all over the world, including Europe and the USA. BiP has reflecting a major success surpassing 10.3 million downloads in 192 countries. Today it has become a global brand with one million downloads from countries outside of Turkey. It has also marked the global first with its fax service through the BiP messaging platform. Our My Account application has been downloaded 9.3 million times to-date. My Account provides TRY2.3 incremental ARPU and decreases the churn by 0.1 percentage points. Our leading music platform Fizy integrated with video clips and live concerts broadcast Open Air Concerts to one million people has become Turkey’s largest digital concert provider with 7.4 million downloads. Through Fizy more than 2.2 million songs are being listened on a daily basis. Our widely used personal cloud service recently re-branded as Lightbox has ranked up to 3.4 million downloads while the best sports in the sector goes on your mobile has been downloaded 2.7 million times. As of today 2.3 million Turkcell TV mobile download have been made and I will elaborate more on TV on the next slide to come. Meanwhile our online education platform Turkcell Academy has been downloaded by 1.1 million users and our digital publishing service has exceeded 0.6 million downloads. Both mobile and IPTV are important components of our conversion strategy and the number of subscribers actively using both platforms has been rising steadily. In particular on the back of our strong mobile network and largest spectrum assets, our customers, mobile TV watching duration has increased to 27 minutes from seven minutes and it set to further increase. In the third quarter, Turkcell TV+ became the official broadcaster of U.K.’s Premier League, which is considered the world’s most – one f the most prestigious football league. The Premier League is available exclusively on mobile devices to a Turkcell TV+. Along with the English Premier League, Turkcell TV+ providing privilege coverage to sports fans also host the broadcasting rights for the Bundesliga of Germany and NDA and Formula One. And continues to provide diversity to our customers on our 4.5G platform, we are keen about for the upcoming tender for Turkish football Super League and the possibility of broadcasting it through our mobile TV platform bringing football content to even more people. Moving to the next Page, Turkey’s first and only integrated game platform Gamecell made a swift entry into a TRY2 billion game markets in Turkey. The platform which currently offers approximately 2000 games will also enable its users to build their teams and participate in tournaments as well as follow the latest industry developments. Gamecell users will benefit from our mobile payment service to make payments in installments. Turkcell fiber customers can download games without having a quota or a speed limit. In the first month of its launch, we have reached more than 100,000 players exceeding our expectations. We believe that the online gaming platform has the potential for further growth in the years to come. Moving to the next Page, at Turkcell, we believe that nations and economies strengthen with migration and Turkey has long shifted the conversation on Syrian refugees from basic survival to integration. We have been a pioneer in mobilizing the power of communication in one of the biggest humanitarian challenges of our time. Today we try to accelerate the integration of Syrian immigrants in Turkey, taking steps to meet the communication needs of our Syrian customers. As of today, we have more than 1.2 million Syrian customers with a 70% market share in Turkey. Our Hello Hope application was developed to meet the communication needs people and make their lives easier through language assistance, language education and assistance to government services. This app again operational on all access has exceeded 100,000 active users in just one month. Next page is about Turkcell international. Turkcell international revenues comprising 6% of our group revenues were at TRY222 million impacted by currency devaluation whereby the EBITDA margin decreased 2.4 percentage points to 27.2 percentage. Lifecell is the major component of our international business with a 66% share in business overall. Lifecell revenues rose 4.7% in local currency terms with higher use of data packages on the back of the 3G services and higher terminal sales. EBITDA margins fell eight percentage points to 26.9%. This was mainly due to higher network related scores due to 3G rollout, tower rent expenses and higher marketing costs. In values revenues rose 11% year-on-year with the expansion of the subscriber base along with increased voice revenues and terminal revenues through higher smartphone sales. The EBITDA margin improved 2.5 percentage points mainly driven by topline growth and better operational expense management. Our operation in Northern Cyprus comprising 15% of our international revenues recorded 2.7% year-on-year growth and the EBITDA margin rose 2.1 percentage points to 40.1%. Now let me hand over to Bülent for the financial review in more details. Bülent?
Bülent Aksu: Thank you, Kaan. Good afternoon and good evening to all participants. I will now talk in more detail about our financial results. In the third quarter, our business in Turkey with the did share in revenues, while the main revenue at EBITDA growth driver. Turkcell Turkey incremental contribution to our top line was TRY241 million mainly extending from data and services. Despite 5.10% organic growth the revenue contribution of our international business was negatively impacted by the regulation in Ukraine and Belarus. Other subsidiary contribution rose by TRY66 million. This was mainly driven by the Turkcell Consumer Financing Company. We reached the largest market share in the sector has-to-date finance approximately 1.5 million smart device purchases. Consolidated EBITDA rose by 4.9% year-on-year to TRY1.2 billion with an EBITDA margin of 33.3%. This was mainly due to a solid rise in the revenues. Although, partially offset by the higher direct cost of revenues. The rise in direct cost of revenues was mainly due to higher 4.5G network related expenses and the cost of device sales to our dealer channels. Excluding impact of free of charge emergency packages, revenue would have grown by 10.4% while the EBITDA margin would have been 34.4%. To sum up in the third quarter Turkcell Group achieved the highest level of the past three years, while in the first nine months registering for the both high revenue and EBITDA, both at the Turkcell Turkey and Turkcell Group level. Moving on to the next page, in the third quarter, net income as per IFRS declined to TRY163 million, whereas as pro forma net income rose 4.2% to TRY705 million. One off items had an adverse impact on this quarter. These items were TRY103 million foreign exchange loss including tax and minority share. TRY39 million net interest expense including the valuation of the derivative instruments. TRY138 million provision for the application to the tax authorities to benefit from tax amnesty mainly relating to the special communication tax disputes. TRY81 million 4.5G license amortization, TRY48 million free emergency communication packages and TRY43 million very used one-off items, the negative contributions of TRY5 million to group net income in the third quarter driven by weak performance, currency devaluation and impairment. Thus in the first nine months interest contribution was TRY2 million compared to TRY261 million in the same period of last year, negatively impacting our bottom line. I'll now talk about our balance sheet and cash flow items on the next page. Our balance sheet has remained robust on healthy growth and prudent financial policy. Our net debt position compared to last quarter declined to TRY2.5 billion to TRY3.5 billion and our consolidated debt at TRY8.1 billion. Our cash position increased by TRY1.9 billion to TRY5.6 billion on a strong drive in EBITDA and working capital and higher interest income of our consumer finance company. The main factor behind the improved working capital work, TRY210 million - advices given for fixed assets purchases, TRY168 million decreasing prepaid expenses, TRY431 of other working capital mainly consist of decrease in default VAT and increase in trade payables. During the quarter the major cash outflow items was capital expenditure of TRY743 million TRF of each TRY687 million was related to Turkcell Turkey. Moving on to the next page. Now I would like to briefly discuss the foreign currency breakdown of our cash debt and CapEx. We set balance foreign currency cash on debt position in order to reduce currency exposure. Against the 79% foreign exchange denominated debt we have 82% a fixed cash which to a certain extent provides natural hedging. The entire foreign currency debt position is related to the Turkcell Turkey and portion of it was hedged in the second and third quarters which I will explain in detail. Our net debt to EBITDA ratio decreased slightly to 0.6 times as of September 30, 2016. Turkcell is the only company in Turkey to start paying three investment grade ratings from major rating agencies. Despite the recent actions of these rating agencies on sovereign ratings, all of these rating agencies have affirmed Turkcell's investment grade ratings on the back of our strong financial profile. Moving on to the next page. As we hedge against foreign currency risk we aim to hold almost all of our free cash in U.S. dollar or euro, which improves our net foreign currency short position and to reduce our exposure. Further hedging tools in our group, we engaged in participating cross currency swap transaction at very favorable rates. With this transaction Turkcell has swapped additional US$250 million loan to a Turkish [indiscernible] liability in the third quarter to mitigate credit risk. Our actions to decrease our short position to be converting our cash to foreign currency continued in October. Accordingly we have decreased our short position to converting our cash to foreign currency continued in October. Accordingly we have decreased our short position to U.S. $700 million compared to U.S. $1 billion as of fourth quarter of 2015 rendering our balance sheet more immune to financial shocks. Our short position has further fallen below U.S. $650 million in October. This brings us to the end of our presentation today. Thank you very much for being with us and now we are ready to take your questions.
Operator: [Operator Instructions] Our first question is coming from Roman Aberazoff from UBS. Please go ahead.
Roman Aberazoff: Thank you so much. It’s Roman Aberazoff from UBS. My first question is on Fintur, I was wondering if you could please give us maybe a little bit more color where exactly you disagreed with Telia. And was it price or was it something else. So something here would be very helpful. And also on the Fintur as well you’ve mentioned the possibility of selling it as being one of the options. So could you perhaps comment on whether you see any actual interest from third parties already today, and whether that is what maybe prompted some change in your thinking. That’s on Fintur. I was also wondering on the operational side, is there a chance that you will start overachieving on your guidance of high single-digit revenue and perhaps tap into the double-digit territory given how strong the underlying performance was once you allow for the one-off, there was roaming, there was free usage in the quarter and going forward hopefully 4G will start to have more impact as well as the competitive environment improves et cetera. So what do you think. Do you we can sustain a double-digit top line growth trajectory from now that will be very helpful. Thank you.
Kaan Terzioglu: Thank you very much. First of all let me start by answering your first question about Fintur, Roman. Actually what I can tell you is exactly what [Joan] [ph] has said in his conference last week we have agreed actually that the talks were inconclusive, we could not find a middle ground in terms of making an agreement on buying the shares and we will be jointly looking for different options including selling our stake with regard to Fintur, that's what I can tell you and therefore selling yes is one option. I will keep it there not to make anymore further speculations. With regard to the operational side we’re very comfortable with our growth rate. As you know at the beginning of the year we have set 8% to 10% in terms of growth both in Turkey and group level and we are on the higher end of that where we see looking to the performance of the last month actually I see that the penetration rate of smartphones 4.5G customers spending basically more time on TV on their mobiles, spending more time on browsing the Internet gives me confidence that the double-digit growth will be actually sustainable and we will make our targets of 8% to 10% guidance of the year probably towards the higher end of it.
Roman Aberazoff: Thank you very much.
Operator: Our next question is coming from Hervé Drouet from HSBC. Please go ahead.
Hervé Drouet: Yes, good afternoon. Two questions as well on my side. The first one coming back on Fintur when you are talking about different options, does it automatically look at option of selling to potentially strategic investors or can it be potentially listing that you may contemplate as well as one stage in a similar way that you're planning to do potentially yield on next year CFO, Bülent. And the second question is on the operations. During the summer and during the event that happened in Turkey, I understand you had those free emergency package being put in place but I was wondering as well [indiscernible] if you have seen a change of traffic due to the event and you compared on the consumption of as a usage for instance compared with other years it has been as well due to the event on the usage, which was obviously partially offset from the monetization from the free emergency package?
Kaan Terzioglu: Okay. As I mentioned, I don’t want to speculate on the Fintur case. I can tell you that I have been agreed in an conclusive way in terms of for us to buy the stake of Telia and we will look into other options. This could be sales or any other thing and we will be in touch with Telia in terms of the options as well. With regard to the questions, telecommunications infrastructure in Turkey has been lived through the entire stage and naturally there has been an increase in the traffic during that week particularly and we have provided for above the month, three emergency communication packages both 3G, 4.5G and Wi-Fi options to the public. I don’t think it has had a major impact in terms of a traffic surge for the entire quarter, but of course during the period of the event there has been an increase in the utilization and the industry has been very successful in keeping up with that.
Hervé Drouet: Okay, all right. Thank you.
Operator: [Operator Instructions] Our next question is coming from Mamet Aguse from Yappi Credit. Please go ahead.
Mamet Aguse: Hi, thanks for the presentation. My question is about the regulatory change in middle that the removal of the - on that price gap. And also I’ve seen the presentation, the significant increase in data, mobile data revenues up around almost doubling year-over-year. Whether in this quarter you make any requalification on the revenue front? And actually I want to ask about profitability implications in terms of savings on the cost front. As well as my second leg of my question is about, the strategic implications of the change in the regulation, whether the saving from this would be used to stay of competition maybe to be constitute to gain some market share/ If you can give color on that that will be great.
Kaan Terzioglu: Sure, Mamet. Thank you very much for good question. As you have rightly stated, mid of August, saw a very important change in the regulatory front for our Company and retail price controls were basically removed. Well if you look at where we invest and where our costs are and where our customers actually consume our services. We invest 96% of the time for data, 91% of our costs are related to data, and our customers also consume 91% almost all of our data services. And I think the change gives us a new level ground that you reflect in our pricing, the services that we really provide in addition to that, as you know we are significantly shifting from selling road to process data they are indeed in the form of digital services, TV, music, magazines and all sorts of things our customers actually are really looking for. So all these things are reflected in our new value propositions to the customers and they have an impact on the growth of our digital services revenue potential, as well as the revenue growth from data services. Currently if you look I think our last quarter 52% was the range of data revenues. Now we move to 60% and I would say basically see in the market that this trend would continue in terms of more percentage of revenues will come from data services and digital services as only raw data, but really digital services. Clearly this move has given us more competitive edge, as well as more chances to provide profitable services and we will - you know we have seen a portion of this a little portion of that coming from in Q3 and we will see this continuing in the next quarters as well.
Mamet Aguse: Okay, thank you. Maybe just to clarify on the cost front, this reallocation of the mix, I understand that you’re allocating more to data given where the business is growing. But I was wondering whether this shift by stuff just because of the taxes on data versus voice by [indiscernible] around 200, 250 EBITDA margin impact. Whether you have recognized this on the course from this quarter because, is there any other - in the other parts of the business, I understand there are some one-offs but any cost escalation offsetting this, how should we think about going forward in the next couple of quarter maybe?
Kaan Terzioglu: Now of course this quarter only a portion of our new value propositions are reflected. Naturally there will be a change, due to the different taxation regimes here. We have just in the process of basically booking the value propositions and the right prices of the value propositions for the customers and the new regulatory environment basically is giving us this chance. Now looking to the impact, the changes are not only about the relocation of the revenues of data, but sustain and continued growth of data consumption. As we have indicated in the note, our average 4.5G customers are spending 4.6 gigabytes compared to 2.3 of regular customers and the days of 4.5G customers are continuously increasing. So we would see the impact of more smartphones, more consumption of data and more consumption of value-added services and digital services such as TV and music which actually are all accretive to our ARPU and also accretive to the churn rates. So we will see impact of all these and that’s actually reflected in the guidance that I have provided for not only this year, but also for the three years. I would like to mention that we will reiterate the guidance for the midterm which we have provided a year-ago giving the indication that it will be sustainably growing the business at 10% to 15% and it will be increasing our EBITDA margins towards 34, 35 percentage points.
Mamet Aguse: That’s very helpful. Thank you.
Operator: [Operator Instructions] Our next question is coming from Ivan Kim from VTB Capital. Please go ahead.
Ivan Kim: Good afternoon, it's questions from my side, please. Firstly, if you look at the mobile revenue excluding the emergency package tariffs and probably also excluding the net negative impact from roaming, there was an acceleration and growth in this third quarter, what would you - that acceleration more to - is it an inflation pass through or you would say it's more driven by the higher consumption. That's my first question and the second question is related to your services and solutions kind of revenue, in music, person cloud and all other process data as you call it. Where do you stand against your competition. Does the competition emerge at all in those segments, is it more of the global players, are there any local players competing with you and what's your targets within all of those verticals. Do you want to probably be eventually Turkishmen, hopefully within those. How do you, how do you see yourself within those verticals on a three, five year may be. Thank you?
Kaan Terzioglu: Thank you very much, Ivan. So with regard to the first question, in Q3 when we launched the 4.5G services, we have a feel of the launch with certain campaigns including double lifting the quarters as well as some special campaigns for roaming, as well as quarter surpluses. As we retire those campaigns and as the consumption levels are 4.5G increases, as well as the number of 4.5G customers, we actually see a healthy growth rate kicking in. So it is in line with our inflationary pricing policy, but also proven by the levels of consumption increases. With regard to the services and solutions revenues and strategy, actually Turkcell is an OTT company, who happens to have telecom licenses. So we are very aggressively entering into TV, music and all sorts of instant messaging platform businesses and leveraging our position as local content and local Telco licensed player. So we see our competition as the global players in this arena and of course we are ready to protect our national and domestic market in the best way utilizing our IMS infrastructure and capability to integrate these applications to our Telco services. With regard to our strategy again all these services including TV, music, digital media and instant messaging are all access applications. They are not only accessible through the competition in our domestic market, but they are also accessible through anywhere globally. And we see ourselves as a strong player in these fields already today and also this position will improve in the next two to five years.
Ivan Kim: Interesting. Thank you.
Operator: Our next question is coming from Roman Aberazoff from UBS. Please go ahead.
Roman Aberazoff: Thank you very much. Just a quick follow-up on infrastructure sharing, so I was wondering both expect from the end of the fiber holiday that’s one and also if you could give us an update on your Vodafone joint venture that will be very helpful?
Kaan Terzioglu: Thank you, Roman. As you would remember, we have announced together with Turksat, the Cable TV operator in Turkey, Vodafone, TELKODER the association of small ISPs of Turkey and ourselves to get together and open up our network for sharing and also create a JV that would do the further deployment of fiber infrastructure of the country. This project is actually on target and we are discussing about the sharing of the networks as the first race and immediately followed up by the new company that will be responsible for building that fiber infrastructure. That mean of course positive progress towards our asset life strategy in terms of the deploying infrastructure that are shareable domestically with the competition. That is also reflected in our strategy of Global Tower, which actually opens up its powers for sharing with other operators in the country.
Roman Aberazoff: Okay. Thanks.
Operator: As there are no further questions over the phone, I would like to turn the call back to our host for any additional or closing remarks.
Nihat Narin: While we are waiting the next question, there is some online. I would like to actually ask our CFO if I can repeat question from [indiscernible] from Global Index. Bülent, could you just give us more details about increasing impact of other cost items to direct cost of revenues and decreasing impact of the depreciation and amortization of fixed rate compared to the last as same quarters?
Bülent Aksu: Regarding the first question, other costs items are related to the cost devices sold via our retail sales channels and regarding to your second question, our depreciation to revenue rate decreased in Q3 due to the increased in our revenues in Q3.
Nihat Narin: Thank you. And the second question again from [Barrick] [ph] companies hedged now with denominated cash and cash equivalence position increased to $1 billion as of Q3, 2016 from $0.6 billion as of Q2, 2016 is that any specifically reason for those?
Bülent Aksu: As I mentioned in my presentation due to our hedging purposes and hedging policy Turkcell has converted all available cash into the foreign currency and this is the company policy and we continue to see – Q3.
Nihat Narin: Thank you. And the last question, again from Barrick to our CEO, what was your new game plan after performance of the Global Towers IPO, considering your monetization effect such as divestment introspects?
Kaan Terzioglu: Thank you Barrick for the question. I mean I think I have numerous banks stated that we would like to progress through an asset like strategy on our balance sheet that means looking into the assets that we have on our balance sheet like towers or fibers these are exactly the areas where we believe we can create value for the shareholders. So we believe our tower assets are impeccable in terms of value and we would like to pursue our objective of going through an IPO in 2017 for these assets. Unfortunately doing the times that we were accepting all the offers which actually showed a very strong demand we had the events in U.S. basically impacting the internet access and that also caused us to focus on this issue in the Turkish market as well. That’s why we have postponed but our expectations from the monetization of that assets continues in a very strong way. With regards to the Fintur, we believe that these markets are markets of value and we are seeking to create the maximum shareholder value by looking all options we have together with our majority shareholder there at Fintur with Telia Company.
Nihat Narin: Thank you, Kaan. I guess that brings us to the end of the session, if there is no any questions that I noticed if there is not, I would like to ask again my CEO, is there any remark if you would like – and terminate the call.
Kaan Terzioglu: Well, first of all, thank you very much for joining us at this call and looking forward to our end year conference call. Thank you.
Nihat Narin: Thank you for all participation and please be aware that it will be a video – audio available for the next off period. If there is any further questions please get in touch with Investor Relations. Thank you. Have a good night and have a good day. Bye-bye.
Operator: Ladies and gentlemen, that will conclude today’s conference call. Thank you very much for your participation. You may now disconnect.